Operator: Greetings. And welcome to the Trupanion Inc. Second Quarter 2016 Results Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host, Laura Bainbridge with Investor Relations. Please go ahead, ma'am.
Laura Bainbridge: Good afternoon. And welcome to the Trupanion second quarter 2016 financial results conference call. Before we begin, I would like to remind everyone that during today's conference call, we will make certain forward-looking statements regarding the future operations, opportunities, and financial performance of Trupanion within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. These statements involve a high degree of known and unknown risks and uncertainties that could cause actual results to differ materially from those discussed. A detailed discussion of these and other risks and uncertainties are included in our earnings release which can be found on our Investor Relations website as well as the company's most recent reports on Forms 10-Q and 8-K filed with the Securities and Exchange Commission. Today's presentation contains reference to non-GAAP financial measures that management uses to evaluate the company's performance, including, without limitation, fixed expenses, variable expenses, adjusted operating income, acquisition costs, adjusted EBITDA, and free cash flow. When we use the term adjusted operating income or margin, it is intended to refer to our non-GAAP operating income or margin before new pet acquisitions. Unless otherwise noted, margins and expenses will be presented on a non-GAAP basis, which excludes share-based compensation expense and depreciation expense. These non-GAAP measures are in addition to and not a substitute for measures of financial performance prepared in accordance with the U.S. GAAP. Investors are encouraged to review the reconciliations of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in today's press release or on Trupanion's Investors Relations website under the quarterly earnings tab. Lastly, I would like to remind everyone that today's call is also available via webcast on Trupanion's Investor Relations website. A replay will also be available on the site. With that, I would like to turn the call over to Darryl, Trupanion's Founder and Chief Executive Officer. Darryl?
Darryl Rawlings: Thanks, Laura. And good afternoon, everyone. Today, I am joined by Tricia Plouf, our Chief Financial Officer. We look forward to highlighting another quarter of consistent financial performance across key metrics and on our progress against the areas of strategic focus for 2016. Undoubtedly, the most significant financial milestone in the quarter was reaching positive free cash flow. Achieving positive free cash flow my mid-2016 has been an objective within our organization for quite some time. And it positions us to continue to invest in our growth in a non- dilutive manner. At the same time, we grew revenue 30% on a constant currency basis, marking our 35th quarter of sequential revenue growth in access of 25%. As we continue to grow, we are most focused on increasing scale in our adjusted operating margin while cost effectively adding pet at our target I will repeat a PAC ratio of 5 to 1. I believe these are the two best metrics for tracking shareholder value creation. We delivered meaningful improvement in adjusted operating income which totaled $3.9 million for the quarter or 9% of total revenue. And 800 basis points improvement from the prior year period. Adjusted operating margin in the quarter benefited from our continued focus on reducing fixed expenses which declined 600 basis points year-over-year. During the quarter, we invested approximately $3.4 million in pet acquisition at a ratio of 5.3 to 1. We will continue to invest in the growth of Trupanion and the category by the way of cost effective pet acquisition. Now with slightly exceeded our 5 to 1 target in a quarter, largely a function of our continued effort to optimize our pet acquisition spent on higher life time value category. And to provide a little buffer for our cash flow target in the quarter. The combination of the expansion in our adjusted operating margin and improvement in the LVP to PAC ratio enabled us to achieve positive free cash flow, though our GAAP net loss totaled $1 million for the quarter. As we are half way through the year, I want to give you an update on where we stand relative to the areas of focus in 2016 as I laid out in our annual shareholder letter. Specifically, we identified opportunities to optimize our LVP to PAC ratio by subcategory to scale our fixed expenses to better message our competitive value proposition and to improve training for our employees. We've been executing on our goal to improve our LVP to PAC ratio by subcategory. Our data is key to this effort and we believe a significant advantage. By leveraging our extensive data we can deploy our pet acquisition spend on a more granular basis. And strongly manage our acquisition spend in relation to the lifetime value of each pet subcategory, spending more on higher lifetime value subcategories and less on lower lifetime value subcategory will be essential to maintaining our disciplined enrolled pet row. In subcategories with the $1,000 lifetime value for example, we can spend $200 in pet acquisition to maintain a 5 to1 target. And in subcategories where LVP is $100, we can only afford to spend $20 in pet acquisition to maintain balance between growth and value creation. Part of our strategy in this area is focusing on pet with higher LVP or conversely reducing low LVP pet that we cannot acquire efficiently. We made modest improvements in both areas during the second quarter. But we have a ways to go in leveraging all the data to optimize LVP in the future. On the second focus area, fixed expenses, I'll cover the highlights and Tricia will walk you through the details around the meaningful progress we delivered in the second quarter during her quarterly financial review. Our third area of focus highlighted in our recent annual shareholder letter is improving the messaging around our competitive value proposition to consumers. As a reminder, we have no cap for limit; we cover all congenital and hereditary condition. And we never penalized pet owners for the aging of their pet or for their personal claims history. We believe that we provide pet owners with the highest value proposition. We spend more on veterinary invoices, offer pricing that is more precise and fair and provide a better customer experience. And through our efforts with direct pay, we are eliminating the reimbursement model, improving the entire experience for pet owners and veterinary alike. Pet owners avoid the cumbersome out of pocket expense and lengthy reimbursement process. Veterinarians can comfortably recommend the best path of care and pets received the best treatment available. We believe this customer experience will be a key differentiator for us in the marketplace. Now historically our communication has focused primarily on the benefits of Trupanion and less around competing products. Much of the work we are now doing is aimed at explaining what makes Trupanion unique. And what differentiates our medical insurance from the landscape of pet insurance product. Example of which are now available on our IRR site. Lastly, our annual shareholder letter highlighted the opportunity to improve training of our team members. We are nearly finished with the process of relocating our corporate headquarter. And today's call marks our first earnings call from our new building. This new space provides us with a number of benefits including more room to accommodate our growth and more importantly dedicated training areas for our team members. The relocation moves us out of an area that was becoming increasingly expensive and we signed a long-term lease that aligned with our strategy of scaling our fixed expenses. With that I'll turn the call over to Tricia to review the details of our second quarter results.
Tricia Plouf: Thanks, Darryl. And good afternoon, everyone. Before I begin with the discussion of our financials, I'd like to thank Mike Banks for all of his contribution to the finance organization and for facilitating us new transition. Mike built the strong financial organization at Trupanion that I am privileged to take over. The timing is also particularly nice for me since as Darryl mentioned, we achieved our goal of being free cash flow positive in Q2. Overall, we are very pleased with our performance in the second quarter. Our total revenue was $45.8 million, a year-over-year increase of 30% on a constant currency basis. After foreign exchange conversion, total revenue increased 29% over the prior year period. Total enrolled pet increased 23% year-over-year and totaled 320,000 pets as of June 30th. Subscription revenues were $42.2 million comprising 92% of our total revenues, year-over-year growth was 31% driven by our growth in pets as well as continued increases in average revenue per pet. Total subscription pet grew 24% compared to the prior year benefiting from continued strength in our average monthly retention rate which was 98.64% for the second quarter. Monthly average revenue per pet was $47.39, an increase of 5% year-over-year. In local currency, monthly average revenue per pet increased by 7% from the prior year for our U.S. members and by 4% for our Canadian members. Our other business revenues, which generally are comprised of our revenues that have a B2B component, totaled $3.7 million, up 9% from the second quarter of 2015. Total gross profit for the quarter was $8.3 million, a 43% improvement over the prior year period. Our subscription gross margin was 19%, in line with our annual target of 18% to 21%. Turning now to our cost structure, as Darryl mentioned driving scale in our fixed expenses continues to be a key organizational priority. In the second quarter, our fixed expenses as a percentage of revenue decreased both sequentially and year-over-year representing 10% of total revenues, this was down from 16% of revenue in the prior year period and 11% of revenue in the first quarter. The scale we realized in our fixed expenses was primarily a result of revenue outpacing our expenses, as well as our ability to drive efficiencies within our general and administrative and technology department. Of this 6% year-over-year improvement in fixed expenses as a percentage of revenue, approximately 2% was related to the portion of our direct pay technology expenses which did not recur in 2016. While we don't expect to see as dramatic of decreases in future quarters, we do expect continued incremental scale as our projected revenues outpaced our anticipated growth in fixed expenses. I now want to turn our acquisition costs. In the second quarter, Trupanion spent an average of $118 to acquire a pet, with an average lifetime value of $622. Our LVP to PAC ratio for the quarter was 5.3 to 1, up from 4.3 to 1 in the prior year. As Darryl noted this was the marked improvement on a year-over-year basis but our target does remain 5 to 1. Although we exceeded our target slightly this quarter, our results demonstrate our strategic focus on disciplined growth by cost effectively acquiring pets and this continuous to be a focus for us going forward. Our adjusted operating income, the measure we use to track operating income before any cost to acquire new pets, totaled $3.9 million in the second quarter or 9% of revenue, compared to $0.3 million or less than 1% of revenue in the prior year period. This was an 8% year-over-year improvement benefiting from our continued progress in scaling fixed expenses. Continued scale in fixed expenses positions us to achieve our long-term adjusted operating margin target of 15% of total revenue, which we expect to achieve when we reached 650,000 to 750,000 total enrolled pet. We generated a net loss of $1 million, or $0.03 per share during the quarter, compared to loss of $4.6 million, or $0.17 per share in the prior year quarter. We ended the second quarter with $29 million common share outstanding and $32.8 million shares outstanding on a fully diluted basis. Adjusted EBITDA was a positive $0.5 million compared to $3.2 million loss in the prior year period. Our adjusted EBITDA was ahead of our expectations for the quarter primarily driven by slightly better than anticipated adjusted operating income and lower acquisition spend. As mentioned, we achieved our goal of being free cash flow positive in Q2 with free cash flow of $1.1 million, a significant milestone for us and substantial improvement from negative free cash flow of $5 million in the prior year period. Free cash flow benefited from the growth in our core subscription business and continued discipline in new pet acquisitions spends. I am very pleased with the significant year-over-year improvement in adjusted EBITDA and free cash flow. This improvement is a positive for us. But I do want to take a moment to remind everyone, that we have a long-term strategy to invest in growth. We are in a large under penetrated market and our strategy is to reinvest our profit in cost effective pet acquisition while being free cash flow and adjusted EBITDA breakeven or slightly positive. We ended the quarter with $45.4 million in cash, cash equivalents, and short-term investments. I want to now turn to our outlook for the third quarter and full year. Performance through the first half of 2016 is tracking slightly ahead of our expectations and as a result we are initiating guidance for the third quarter and increasing our guidance for the full year 2016 as follows. Total revenue for the third quarter is expected to be in the range of $47.5 million to $48.5 million, representing 27% year-over-year growth at the mid point of the range. And for the full year we now expect revenue in the range of $186 million to $188 million also representing 27% year-over-year growth at the mid point of the range. Keep in mind that our revenue projections are subject to conversion rate fluctuation between the US and Canadian currencies. For the third quarter and full year 2016 guidance, we use the 77% conversion rate in our projections which was approximate rate at the end of the second quarter. As a reminder, our strategy is to leverage revenue to drive expansion in our adjusted operating margin. We expect to reinvest our profit in cost effective pet acquisition. Therefore, our adjusted EBITDA for the third quarter and for the full year is expected to be around breakeven. With that I'd like to thank you for your time today. And we will now turn the call back over to Darryl.
Darryl Rawlings: Thanks, Tricia. In closing, the second quarter was in line with our expectations and I feel good about our position. Financially, we produced another quarter of consistent revenue growth, realized significant scale in our adjusted operating margin and achieved positive free cash flow. We are continuing to strike a good balance between growth and our return on investment spent. And we look forward to building on a positive momentum in the back half of 2016. We have a strong leadership team in place. The collective efforts of which have gotten us to where we are today. For those of who you interested in digging further into our business, we invite you to visit our team at our headquarter in Seattle. We also have planned to be at several Investor conferences in August and in September. The details of which you can find on our IRR site. Thank you for your interest and participation in today's call. We'll now open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Kevin Kopelman with Cowen and Company. Please proceed with your question.
Kevin Kopelman: Hi. Thanks so much. And congrats on the big milestone this quarter. I just had -- I want to ask how you are thinking about balancing profit versus growth as we look into 2017? You raised -- you did raise the 2016 EBITDA guidance but what's the emphasis on reinvesting in growth. How should we think about our EBITDA in the next year? Thanks.
Tricia Plouf : Thanks, Kevin. I'll go ahead answer this one. We aren't going to say too much about beyond 2016 but in general what I would say is our strategy and the message around on EBITDA and cash flow basis targeting around breakeven and really expanding our operating margin and reinvesting in pet growth. And we see that as our focus for the foreseeable future into 2017. So we would say that really we are targeting around breakeven for the foreseeable future when it comes to cash flow and EBITDA and investing in growth.
Darryl Rawlings: Kevin, this is Darryl. I'd just add that our growth strategy is to grow cost effectively while minimizing dilution. And that means us being very good or being better at understanding our subcategory that are 5 to 1. So as our adjusted operating margin increases and will continue to increase eventually 15% margin if we hit our plan. We are going to have a higher operating profit from our existing pets. And we just wanted to make sure that we are able to cost effectively grow while maximizing shareholder value creation. And we think we have the right leverage to do it. And it's easier for us right now to slow growth in categories or subcategories that have lower LVP and we need to become better at accelerating growth in areas that we have a higher LVP.
Kevin Kopelman: Okay, thanks. And if I can ask one other question. Can you give us an update on kind of what the key drivers of gross -- subscription gross margin were in the quarter and how to think about the leap year transition from Q1 to Q2 and what should look for going forward? Thanks.
Tricia Plouf : Sure. So in general you are right. We did have an extra day in the first quarter. And we obviously didn't have that this quarter or the remainder of the year. When we think about gross margin that we experienced this quarter being right around 19% and also where we are year-to-date just almost that 19%. It's within our target of 18% to 21%. And that's not really an area where we are looking to drive any kind of scale or leverage. So 18% to 21% is how we think about it now and moving forward and we are driving that leverage in our fixed expenses. But also I mentioned before there is some variability in this gross margin as pricing increases roll through and other things like that. And you've seen the variability between Q1 and Q2 which is very small but it is there. And so we are really focused on making sure we have the right pricing and getting in that 18% to 21% range and we feel good about where we are at right now and that range going forward.
Operator: Thank you. Our next question comes from Andrew Bruckner with RBC Capital Markets. Please proceed with your question.
Dylan Haber: Hi, this is Dylan Haber on for Andrew. Congrats on the strong Q2. So first off just in terms of expansion. Can you guys talk about new markets that you are entering and any meaningful hiring of new territory partners in those locations? And since you have achieved positive free cash flow, do you see any upcoming events which could cause switch back to negative FCS. Great, thank you.
Darryl Rawlings: Thanks, Dylan. It's a question that we are often asked about geographic expansion. And we've been in Canada and the United States since the end of 2009 but we are not licensed in all 50 states until 2013. We are currently visiting about 21 of 28,000 hospitals. So there is room for additional geographical expansion. We are look trying to find and add more territory partners for those spots. And but in general right now we are kind of in a little bit of transition between trying to grow the number of active hospitals and same store sales. So geographic expansion is a further lever there. So ultimately we want to be calling and closer to 25,000 or 26,000 of the 28,000, is probably going to take us another year or two until we have that full geography covered. Then we go out we build the relationship spot hospital by hospital. And then once that happens we work on same store sale. So we are kind of in progress and pretty steady consistent progress on geographic expansion which is relatively slow. The next question was specifically around free cash flow. So I'll answer quickly and then ask if Tricia has anything else to add. But our goal is to expand our operating margin as we grow this category. So we are going to grow the number of pets with our ARPU increases. We are going to be expanding our revenue. We expect to have relatively consistent revenue growth over the next year or two. And with that we are expanding our operating margin and but we are not really targeting as Tricia mentioned earlier to be expanding our EBITDA or free cash flow. What we wanted to be able to do is to be able to cost effectively spend as much as our operating profit as we can. But we want to do it in a very disciplined way. So we don't see anything foreseeable in the future that's going to drives into negative free cash flow. But we are expecting to be relatively close. So it could bump up and down quarter-to-quarter a little bit but goal is to be just slightly positive. Tricia, do you have anything to add?
Tricia Plouf: Yes. I think to be only and it's good question. I think only thing that I would just emphasis this last part that Darryl said which things might happen quarter-to-quarter where it will around a little bit particularly timing of payment we tend to see some higher payments in the first quarter compared to other quarters historically. So we are definitely targeting to be around breakeven but it could move around a little bit on a quarterly basis.
Dylan Haber: That's correct. And then if could just ask a quick follow up. Monthly revenue per pet is-- growth is accelerating. Can you just talk about the factors that are driving that?
Darryl Rawlings: It's actually it really hasn't been accelerating. Our ARPU average revenue per pet is been pretty consistent between 5% to 6% year-over-year. But if you look back at last year and the year before because of foreign currency exchange it seemed a little bit muted. But if you did on a constant currency basis both Canada and US dollars, we've been pretty consistent at 5% to 6%. So I would just say it's been stable but you have to realize some foreign currency exchange behind the scene.
Operator: Thank you. Our next question comes from Jon Block with Stifel. Please proceed with your question.
Jon Block: Great. Thanks, guys, and good afternoon. Maybe just the first to start, Darryl, the competitive landscape, there has been some of this sort of hybrid I guess the best way to put insurance wellness plans and do you believe they are gaining any traction out there? And does that has any impact in your share as a percentage so new subscribers which I believe has been running in the range of roughly 40%.
Darryl Rawlings: Hi, Jon. So I think there are two parts to your question for the average listeners on the call. So our coverage is medical insurance for cats and dogs and covers as the pet become sick or injured. It's more of a catastrophic care although the level catastrophic is pretty low at $0 deductible so it could be smaller an ear infection or major as a $20,000 surgery. What you are talking about is some of our competitors in the space have layered on a little bit of wellness on top of it. So they say in addition to be covered for some accidents and illness maybe not concluding congenital and hereditary or may including that. So maybe cover a portion of flea control or annual vaccination. We've seen these trends literally for 15 years that any wellness plans have been growing slower than the rest of the category. They tend to have lower retention rate. So we do not see that as any material impact to our business. You can't really offer a good value proposition to a pet owner when we have frictional cost as it reminder we are trying to pay on an average about $0.71 and a $1 for the average pet owner which is a good value proposition when a pet owner does not know if they are going to have lucky or unlucky pet. But every responsible pet owner knows that they are going to need to do vaccination or flea control. And if you are adding additional frictional cost on top of it, it doesn't cost effectively provide any value to the pet owners. Now there is an alterative to this which I think is differential. And that is if the vet hospital themselves offers a discount on a wellness program to drive the customers to come back for - to their hospital because they want to create sticky client. I think that can be of a benefit to a customer. And I think if done well a hospital can really lineup the benefits and saying, having a wellness plan provided by your hospital and then having Trupanion if your pet becomes sick or injured, it's going to provide you will all the coverage. So in general summarizing back to your question, I don't think anything this in the marketplace is having any material impact on our business. So we are entering the watch wellness plans in hospitals those not - it's not a new phenomenon as you are well aware of this is being going on for three years. But I think a veterinary hospital can offer something that had a good value proposition because they will discount those services to create sticky customer. That's a win for everybody whereas a third party payer is not really able to offer that value proposition.
Jon Block: Got it. And maybe one, one and half little more it has been maybe a year or so since you guys have partnership with VCA and WI and just want to take your time to churn how those are faring and are there any other opportunities to work with other industry leaders to help accelerate adoption of the overall market.
Darryl Rawlings: So our strategic partnerships kind of fall in to different buckets. You are going to have the bucket that are inside of animal health where we can work with VCA or MWI or a number of other people that lead their section of animal health. We continue to have ongoing conversations. We have made a number of partnerships but quite frankly as our revenue has grown we don't think they are material enough for us to be disclosing. So if any of them really take off and have a big momentum behind them we'll let everybody know. I think the other area of strategic partnerships is really in other revenue, not going to be where in really three buckets. The first bucket is where we can be the company behind one of our existing competitors. And as a strategy that we have and if something comes along line we'll be able to update the market and that revenue will roll on in a slow fashion. A secondary is going to be maybe it's anywhere in kind of the pet world where there is a good distribution to the pet owner and maybe we can be providing a while label product. Once again if we any of those comes to the marketplace. If they happen, they will have a slow impact. And if there is any material impact we'll let the market know about it. So I think inside of the animal health we are working with everybody that we wanted to be working with. And we are making little progress here and there on it. But not enough to really kind of stand others on line item.
Jon Block: Okay. Got it. And last one for me; it's also sort of big picture high level. You mentioned you wanted to differentiate yourself and that was an initiative that you laid out in the shareholder letter. Maybe in year-to-date what is working and what's not working. Are you able to do that easier in express markets, do you have to go straight to the consumer to do that or you are able to convey that message from the territory partners through veterinarian and then on to the consumer? Thanks guys.
Darryl Rawlings: So your question is really about how we are communicating the value proposition of Trupanion versus our competitors. And I mentioned in the shareholder letter the last year we didn't make as much progress as I would have liked to. We are doing better this year although I still think we have a long ways to go. We've always been relatively good at it through the vet hospital. We do a better job to the contact center. Our biggest places of opportunity are really kind of direct to consumer and online. So that's going to be our biggest area of focus in the back half of 2016. So continue to watch that but big opportunity for us.
Operator: Thank you. Our next question comes from Chris Marine with Barclays. Please proceed with your question.
Chris Marine : Hi, thanks. And congrats on a great quarter. So I just had a couple -- you are obviously continuing to pass through some very steady pricing increases and we've seen literally no impact to retention rate. So are you seeing competitors doing anything differently from pricing perspective that may cause you rethink those price increases or have you not seen much change there? And then just a second question, Darryl you mentioned earlier about how you are now able to better target certain categories of pets especially this higher lifetime value category. So can you just talk about maybe in a bit more detail about how you are able to lever that data on prospective new customers. I guess where you are sourcing at, what channels are using to better target people, just I guess more specifically how you are able to affect that type of change versus what you are doing before? Thanks.
Darryl Rawlings: Okay. Thanks, Chris. Your first part of the question is really about our pricing strategy. And we absolutely do not look at our competitors for pricing. We believe we have the best date in the industry and we want to price each subcategory as specifically and precisely as we possible can. So we are trying to do each of these categories where we are paying out $0.70 to $0.71 on the dollar. So we do not look at it and say somebody else is trying to sell something for a $0.90, $0.95 and we are at $21 that we are going to go and trying to sell it for $0.90 -$0.94. We really think that it is our job to price at accurately and if you think about our product, our product is for the life of a pet. This is medical insurance where people are making a 13 to 15 years decision for their pet, our job is not to undercut or over cut short term to get a client on, it is about being as transparent as we can. And we are getting better and better at that. And we will continue to get better as we get more data over the years. The second part of your question is really about when we have that information how do we go and target. I think misinterpreted my conversation little bit earlier. You said we are getting better at targeting higher LVP and what I said was we want to be better at targeting our higher LVP. We are actually probably getting better at not targeting our lower LVP which actually slows our pet growth a bit but it's not a good thing for us. We need to become better at knowing how to release money to acquire pets with higher LVP and those -- let say it's a more expensive breed of dog in a more expensive city. So we have the ability to do is to spend more money to target a certain breed or certain geography and increase the number of lease we are getting from that area or conversely about half of our pet spend is really on conversion. So we could spend more money trying to make sure we convert them. In places where we might have a $100 LVP we can only afford to spend $20 on PAC. If we can only do it for $80 what we are saying right now is we choose not to enroll them for $80 and $100 LVP. And that's a balancing act that we are going to have to try to continually get better at over the next three to five years really understanding each of these subcategories and trying to maximize it. I think that answers your question. If it didn't maybe you can just follow up.
Operator: Thank you. Our next question comes from Michael Graham with Canaccord Genuity. Please proceed with your question.
Michael Graham: Hi, thanks. I'd like to ask two, first one for Darryl and then maybe one for Tricia. And asked both at the same time. Just on the higher LVP that was really impressive 5.3 to 1 ratio. I am just wondering how much of that were sort of different marketing channels or more effective marketing versus maybe a pullback in sales and marketing to insure that you hit the free cash flow positive. I asked because you beat our estimate for pets added as well as coming in underneath our estimate for marketing spend which is great efficiency. But I just want to get some clarifications, are there particular categories that are working and then I wanted to ask a clarification on this sort of long-term EBITDA outlook. I think the philosophy here to for has been let's grow under within a 5 to 1 ratio and slowing expand margin over time. And I think there is sort of expectation was in two or three years you have mid single digit EBITDA margins. And I'm just wondering if you are still sort of subscribing to that sort of mid to long term plan or you sort of tilting now towards hey let's keep margins flat for a while for the foreseeable future and therefore we should expect EBITDA to bump lie at zero for a few years. I am just wondering if you could provide any clarifications on that. Thanks.
Darryl Rawlings: Mike I think both those questions kind of relate to each other. In the first question you are asking about us having a LVP to PAC ratio of 5.3 and where could we find areas that accelerate it and they become really efficient or whether the opposite that we were to be cash flow positive being little bit conservative. The real answer is being cash flow positive is really important for us. I mean prior to IPO owning and at the IPO we targeted Q2 or Q3 of 2016 as the quarters that we become cash flow positive. It has been an internal rallying try and I think quite frankly we were little bit conservative on our PAC spend. And likely will be as we try to learn how to optimize our LVP to PAC ratio for the next quarter or two. So I think it's more about us being a little bit conservative and that's what hit those numbers instead of sliding anything new that help to accelerate the growth.
Tricia Plouf : Sure. This is Tricia. And I just follow up on that one kind of addition point to Darryl and then address your second question. We've definitely been targeting getting back to that 5 to 1 as efficiently as possible primarily for disciplined growth but also for that cash flow target. Now, hitting 5 to 3 instead of 5 to 1 and did add a little bit above for to our cash flow. So that’s the difference between the two is about $200,000. So it wasn't the reason we are cash flow positive but it did provide a little bit of buffer there. And about your question about long term EBITDA and that's a good question. Currently at least for the foreseeable future and I am not going to really comment beyond the next year. So but we are focused on growth and we are focused on reinvesting as long as we can hit that 5 to 1 target. So we are focused on disciplined growth and building that category. And if we are able to grow at 5 to 1 ratio we really want to reinvest every dollar that we have and doing so but not going cash flow negative currently. And so that's really our strategy. So and we believe that really will create the most long-term value creation, although it does impact our short-term profit because we invest upfront. And we realize the profit over the time that pet stays enrolled with us. But we are more concerned with long-term value creation for the foreseeable future as opposed to EBITDA margin expansion. As long as those opportunities are available to us over the next foreseeable future, definitely the next year or so that is our strategy. Is that help?
Operator: Thank you. Our next question comes from Mark Argento with Lake Street Capital Market.
Mark Argento: Yes, hi, good afternoon. Nice quarter. Could you just drill down a little bit in term of better understanding the opportunity, I know you said target [Technical Difficulty] talk about leveraging the non traditional kind of territory partners we are looking at online that has been able to you really start to figure out where to create leverage on the distribution side. Obviously huge market opportunity only 1% penetrated so maybe you could spend a few minutes in terms of how you guys view that opportunity? Have you made any key hires to better go after the kind of the online lead market and like I said are you guys thinking about that next 6 to 12 months?
Darryl Rawlings: Thanks Mark. I think the best way that I could explain it. So we've been running this company now for 17 years and it has been a low penetrated market although as you can see Trupanion been able to help build the category and it had good sustained growth. The direct-to-consumer levers I think only really become available once veterinarians make it more of normal situation. So I always say if you walk into the dentist, the first thing they ask you check in who is your insurance with. That is not yet happening in the veterinary world. And we don't think until our territory partners can build the relationships and make medical insurance noble of the vet hospital that we are going to uncover any direct-to-consumer levers that are going to be meaningful across North America. We've been testing in the past some direct-to-consumer in some targeted areas where we had maybe 70% to 80% of hospitals actively recommending. Or maybe we have been in the marketplace for a longer time. We continue to build other team, we got lot of expertise going ahead and trying to do help drive up our consumer communications. But those are mainly focused on increasing conversion rate of existing lead not trying to get new lead out there. And if you track what most of our competitors have to do, they are relying on more people organically going online and looking for health insurance for their pet. And the reality is the growth of that online people looking on their own has been relatively flat for the last five years. We think we are actually building the number of leads by having veterinarians have the confidence to recommend it and make it more normal. So if you look in the next 6 to 12 months, I don't think you are going to see any dramatic levers on increasing the number of leads on direct-to-consumer, broad based on certain markets we may have some win. Like I mentioned in some higher LVP areas and certain cities or certain breeds we have the opportunity where those can be cost effective and we need to become better on tapping those and increasing that growth. But on a general base if we stand back and look at 30,000 feet, in the next 6 to 12 months I am not expecting a dramatic change on the landscape on consumer facing. I think what we have to do on the ground is have our territory partners continue to build the relationships and hopefully get it similar to the dental world where at check-in every vet hospital is asking who is your medical insurance weapon. Now that we pay hospitals directly, they have a reason to ask a check-in. This is a first time in 10-15 years that have check-in there is a reason to ask. Now in the dental world they are not asking who you are insurances with because they are nice or they are interested. They are doing it because that's how they get paid. And as we move to a direct pay model, we think that's going to make it more normal in the marketplace. So hopefully that answered your question, Mike.
Mark Argento: That was helpful. And then just kind of follow up, we are doing our work on the company, we kind of started to pick up on some trends with kind of demographics that have interested pet churns, so have you guys seen any change in terms of the demographics of your kind of your core customer or customer where the definite idea of pet churn kind of resonate with?
Darryl Rawlings: That kind of really gets to the heart of market. 170 million cats and dogs, one in two household has pet. This is not a product that is for rich or for poor; it's a product for the majority of pet owners. The majority of pet owners are not in a position that they can easily afford a $10,000 or $20,000 unexpected invoice. And yet as you look at the total spend on pet even through the recession 2008, 2009, 2010, 2011 and 2012 you looked at dramatic increase on the total pet spending. So pet owners are spending more on their pet. Having them be able to predict if they are going to have lucky or unlucky pet in a place where there veterinary spending is increasing at higher than inflation, needs that our product resonate with the majority of pet owners. I think it's something like 55% to 60% of our pets are in the low to middle income. Lot of people thinks that it's just going to be the wealthier people that get it. The biggest demographic and this hasn't changed recently and I don't expect it to change in the near future is more females actually make the end up purchase than male but I don't think that's any difference than the other consumer purchase. It's really urban density so where there is urban density, there is a higher level of veterinary care which is driven by diagnostics. So when my dog get sick, he is not able to go to the doctor and explain why is not feeling very well. So the diagnostics are really important in veterinary medicine. You got great companies like Idexx and VCA that do a lead lot of ways for diagnostics. And these companies, there is products and there is testing. And they take urban density to work. And the same we said in referral in specialty hospital. You need a certain amount of density to put an ultrasound or CT scan or the head board certified surgeon. So urban density is definitely a friend to Trupanion. And then really it's everywhere from millennials having a pet for the first time to baby boomers who are now empty nesters and the pet is what keeping them exercising and keeping them energized.
Operator: Thank you. Our last question is follow up from Kevin Kopelman of Cowen. Please proceed with your question.
Kevin Kopelman: Hi, thanks. Just little bit of a different question. I want to ask about Trupanion Express. It has been really important initiative for you. Can you give us any update on what you are seeing in the quarter and what kind of key metrics you are looking at to understand the effectiveness of that program? Thanks.
Darryl Rawlings: Thanks. It's a question we get a lot and I think I mentioned it on last earnings call, you are probably be going to hear less and less about Trupanion Express not that we are -- not completely excited about it but we spoke a lot about Trupanion Express which for those who are new listeners is a technology that integrates with practice management software and allows us to pay hospital directly typically in under 5 minutes from the time of invoice being created. We are really excited about it because it eliminates the reimbursement model and we of the believe that a reimbursement model is not going to help drive category growth. If a pet owner has the ability to come up with $10,000 and then go wait by their mailbox for three to five weeks for a cheque then the last time I check they could probably just put it on their credit card to make monthly payment. And paying directly is really important; Trupanion Express is the software that we build for it. We are pleased with the customer experience. We know that veterinarians, we got lot of demand for it. But we don't want to be using the term Trupanion Express to consumers. We just wanted to be Trupanion which is we are paying 90% of your veterinary invoice if your pet becomes sick or injured. And we desire to pay veterinarian directly. We continue to roll it out but quite frankly we have-- we've got a long way to learn how to optimize our messaging to veterinarians and to pet owners. We have a long ways on optimizing our trading. We are thrilled with what we are getting from it. We will continue to be focus on this for the next several years. But for competitive reasons I don't think we are going to be giving a lot of metrics on this moving forward.
Operator: Thank you. This concludes today's teleconference. Thank you for your participation. You may disconnect your line at this time. And have a great day.